Operator: Greetings, and welcome to the Bazaarvoice First Quarter 2018 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Linda Wells, Investor Relations. Thank you. You may begin.
Linda Wells: Good afternoon, and welcome to today's conference call to discuss Bazaarvoice financial results for the first fiscal quarter ending July 31, 2017. I'm joined today by Gene Austin, Chief Executive Officer; and Jim Offerdahl, Chief Financial Officer. [Operator Instructions]. Please note that we are simultaneously webcasting this call on our Investor Relations website at investors.bazaarvoice.com. The earnings release with our results for the first fiscal quarter of 2018 was issued after the market closed today. Certain statements made during this call, including those concerning our business outlook and guidance, growth plans and opportunities, potential acquisitions, outlook on legal matters, sales execution and the ability to capitalize on our opportunities, are all forward-looking statements. Forward-looking statements are subject to a number of risks, uncertainties and assumptions that are described in our SEC filings, including the Risk Factors section of our Form 10-K for the fiscal year ended April 30, 2017, filed with the SEC on June 16, 2017. Additional information will also be set forth in our future quarterly reports on Form 10-Q, annual reports on Form 10-K and other filings that we may make with the SEC. Should any of the risks or uncertainties materialize or should any of our assumptions prove to be incorrect, actual results could differ materially and adversely from those anticipated or implied in these forward-looking statements. We do not intend and undertake no duty to release publicly any update or revisions to any forward-looking statements made during this call. Finally, some of the numbers that we will discuss today during this call will be presented on a non-GAAP basis. Today's press release, together with the accompanying tables, contains the calculations of these non-GAAP financial measures and a full reconciliation between each non-GAAP measure and its corresponding GAAP measure. Please note that we're unable to reconcile any forward-looking non-GAAP financial measures to their directly comparable GAAP financial measures because the information which is needed to complete a reconciliation is unavailable at this time without unreasonable effort. In particular, we cannot reliably estimate our future stock-based compensation expense, which is dependent on our future stock price, and we expect our future stock-based compensation expense to have a significant impact on our future GAAP financial results. With that, I'll turn the call over to Gene.
Eugene Austin: Thank you, Linda, and thank you all for joining the call today. The first quarter was a strong start to fiscal 2018. We were pleased to see both our revenue growth rates increasing and our adjusted EBITDA margins expanding as we begin our new year. We delivered revenue of $52.2 million, well ahead of our guidance and an increase of 4% year-over-year, our best growth rate since Q4 of fiscal 2016. We also exceeded our guidance on adjusted EBITDA posting $6.7 million for the first quarter, representing a margin of 13%, which was the highest in our public company's history. On the heels of these strong first quarter results, we are raising our full year revenue and EBITDA guidance, which Jim will cover in more detail. In addition, we launched Brand Edge during the quarter, which should drive additional revenue as we target the large market for brands with our newest CGC offering. And last but not least, our shopper advertising initiative produced a good quarter with increased sales productivity and a clear step forward in market awareness. Let me begin with more detail on our SaaS business. During the first quarter, our services revenue jumped nicely as we began to deliver on innovations in both professional and managed services. Over the last several quarters, we have introduced new services to ensure our clients are seeing strong value from our CGC offerings, which helps both revenue growth and retention. Managed services, which generally are recurring in nature, have grown consistently since launching last year led by our sampling offering. Market reaction to and demand for our increased portfolio of services has been very good, and we expect that to continue. On the heels of an over 500 basis point improvement in dollar churn last fiscal year, our dollar churn in the first quarter was better than anticipated. We remain on track for our annual dollar churn goals for fiscal 2018 as overall customer satisfaction remains good, and we continue to deliver innovation in products and services. In June, we launched Brand Edge in North America, and we have been quite pleased with the early results. Brand Edge is designed for brands that have no e-commerce capabilities and relies solely to retailers for sales and distribution. In a matter of days, brands can contact consumers, collect reviews, and distribute them to retail sites across the Bazaarvoice Network, dramatically reducing the time to get reviews in the right places to drive sales. Brand Edge is an important initiative to expand our footprint and grow our SaaS revenue. We estimate that over 60% of brands ranging in size from multi-billion dollar global brands to small businesses, have little to no e-commerce capabilities of their own and depend solely on the retail channel for their digital presence and sales. These brands are targets for Brand Edge, and we now have over 150 customers on Brand Edge. While it is early, we have seen a number of trends that are exciting. First, the simplicity of Brand Edge has produced shorter sales cycles and allows clients to quickly realize value. Second, Brand Edge appeals directly to brand managers who need compelling content as fast as possible as they prepare to launch new products. And third, half of new Brand Edge clients in the first quarter also signed up for our sampling services to expedite review collection. Attaching sampling to a Brand Edge sale adds approximately 50% to the ASP, and we're excited to see how sampling and Brand Edge perform together in terms of bookings for this fiscal year. Given our traction with brands, we had another good client acquisition quarter. The total number of active SaaS clients grew by 9% year-over-year, including a win back of a brand that was our largest loss to PowerReviews. Another notable highlight of the quarter was a high 6-figure deal with a large search engine provider to display ratings and reviews from our network across their shopping properties. This is the second relationship with a major search engine. And while we are pleased with the financial terms, the real value is extending the reach of reviews to even more shoppers. Our mission to create the world's smartest network of consumers, brands, and retailers is critical to the success of all of these growth initiatives. In the last year, we have grown the number of retail and brand sites across our network by 12% to roughly 5,700. These sites have collected over 70 million reviews in the last 12 months, an average of 190,000 reviews per day. The syndication of reviews on our network grew at a record rate of almost 80% year-over-year with over 630 million displayable reviews, and Brand Edge will drive that number even higher. In short, our rapidly expanding network is the centerpiece of our growth strategy. Overall, for the quarter, net bookings, which is gross bookings less dollar churn, finished right on our internal expectations through the combination of better-than-expected dollar churn offset by lower gross bookings, which was driven largely by a weaker-than-expected performance in Europe. Advertising revenues in the first quarter grew 24% year-over-year. Sales productivity increased nicely and our focus on key verticals appears to be paying off. We continue to spend resources on demand generation and overall brand awareness, and we are seeing new names in our pipeline. Our repeat customer rate remains excellent at 55% and our cancellation rates continue to be very low. Additionally, we recently introduced the sales segments via the programmatic channel and are pleased with the early results. We now believe we have a solid set of customers and prospects that will purchase our segments via that offering. Lastly, we continue to build upon our significant shopper data asset. In the U.S., our pool of product-specific shopper data has more than doubled year-over-year to roughly 215 million targetable shoppers, which we believe represents over 85% of the U.S. online shopping population. We collect dozens of intense signals from that shopper data, and in addition to the advertising results I spoke to earlier, we see significant opportunity to use that data in driving unique personalization offers, especially for our retailers. For example, we are seeing strong demand for retailers to use our shopper-intent data in their existing recommendation solutions, and we are currently piloting that offering with several clients. We are looking forward to sharing the results of those pilots on our next earnings call. In closing, our first quarter fiscal 2018 was a strong start as our strategic growth in the investments are starting to drive higher revenue growth rates. Our SaaS business is showing continued progress and demand for our advertising solutions is increasing. We had a successful launch of Brand Edge that we believe can open up even more market opportunity. And finally, our adjusted EBITDA continues to increase. We believe that our strategy is sound and our offerings are compelling. And I would like to thank our employees and our customers for their continued commitment to Bazaarvoice. I now would like to turn the call over to Jim.
James Offerdahl: Thank you, Gene, and thank you again to everyone who joined our call. Today, we are reporting results for our first quarter of fiscal 2018 ended July 31, 2017. For the first quarter, we achieved total revenue of $52.2 million, up 4% year-over-year and well above our guidance range of $49.4 million to $50.2 million. We achieved SaaS revenue of $49.3 million, up 3% year-over-year. As Gene highlighted, our SaaS growth rate has increased primarily due to strong delivery of services as well as our net bookings performance in fiscal 2017. We achieved total advertising revenue of $2.9 million, up 24% year-over-year. Productivity of our advertising team selling managed services campaigns grew nicely year-over-year, fueling 42% growth in such revenue, while our legacy advertising revenue continued to decline. We achieved positive adjusted EBITDA of $6.7 million, up significantly year-over-year and above our guidance range of $3.4 million to $4 million. At 13% of revenue, our adjusted EBITDA margins in Q1 where the best since becoming a public company, primarily because of higher-than-expected revenue as well as lower-than-expected headcount. We are quite pleased with our continued increases in adjusted EBITDA as we continue to improve profitability while strategically investing for growth. Our GAAP loss per share for the quarter is $0.03. Our non-GAAP earnings per share was $0.04, well above our guidance of a loss of $0.00 to $0.02. As Gene noted, we had a successful Brand Edge launch in Q1. Most of the bookings dollars were sold with annual or longer contracts, while some bookings, which are smaller brands, using our month-to-month offering. Such brands provide upsell opportunities in the future when they choose to syndicate to additional retailers. Please note that such month-to-month Brand Edge clients are not included in our active client count, our client retention rate or in our SaaS revenue per client in order to not unduly skew these metrics as a monthly recurring revenue for these clients is not yet material. We ended the quarter with 1,524 active SaaS clients, up 9% from a year ago, our best year-over-year growth rate in almost 2 years. Our client retention rate was 95.9%, better than 8 out of the previous 9 quarters. Annualized revenue per average active client was $130,000, up slightly from Q4. Regarding dollar churn. even though Q1 was higher than Q4, Q1 was better than expected. So we believe we remain on track for our dollar churn rate for fiscal '18 to be similar to fiscal '17. Moving to our P&L. Gross margin for the fourth quarter was 68.1%, down slightly year-over-year. We continue to expect the gross margin to be in the mid- to high 60s in fiscal '18. Our sales and marketing expenses for the first quarter were $13.4 million or 26% of revenue, down from $14.5 million or 29% of revenue in the same period last year as we reduced the size of our advertising team in Q4. For the full year, we continue to expect sales and marketing expenses to improve as a percent of revenue relative to fiscal '17. R&D expenses for the first quarter were $9.2 million or 18% of revenue as compared to $9.8 million or 20% in the same period last year. For the full year, we continue to expect R&D, as a percent of revenue to be similar for last year. G&A expenses for the first quarter were $6.2 million or 12% of revenue, up from $6 million or 12% of revenue in the same period last year. For the full year, we continue to expect G&A as a percent of revenue to be similar to last year. We ended the quarter with 763 employees and achieved annualized revenue per average employee of $275,000. Moving on to the balance sheet and cash flow. We ended the quarter with $85 million in cash, cash equivalents and short-term investments, and a credit line balance of $27 million. Since the end of the quarter, we paid down an additional $5 million in the credit line such that, as of today, our balance is $22 million, down from $57 million several years ago and down from $42 million at the end of Q1 last year. Our deferred revenue balance was $75.2 million at the end of Q1 compared to $68.2 million at the end of Q1 last year, and $72.2 million at the end of Q4 reflecting a continued shift to longer-term billing cycles. We ended the quarter with DSOs of 86. While up most sequentially in year-over-year, driven primarily by several large semiannual and annual billings at the end of the quarter, we had another good collections quarter, our aging is good and our bad debt expense on our P&L remains minimal. Operating cash flow was a positive $272,000 for the first quarter. CapEx was $2.4 million, which included $523,000 for the build-out of our New York City office space. As a result, free cash flow in Q1 was a negative $2.1 million. We continue to expect our free cash flow to increase on an annual basis from the positive $5.7 million we achieved in fiscal '17. Now turning to our financial guidance. As we have noted today, we achieved strong financial performance in Q1 and we believe that our growth initiatives in Brand Edge, sampling and advertising, while still early, are beginning to pay off. As a result, we are raising our full fiscal year 2018 revenue, adjusted EBITDA and non-GAAP EPS guidance, but by less than our Q1 overperformance as we are still early in our fiscal year. We now expect total revenue to be in the range of $205.5 million to $208.5 million. We expect adjusted EBITDA to be in the range of $23.5 million to $25.5 million, an increase in the midpoint of 47% from fiscal 2017. Non-GAAP earnings per share is expected to be in a range of $0.05 to $0.09 based on 85.7 million weighted average shares outstanding. For the second quarter of fiscal '18, we expect total revenue to be in a range of $50.8 million to $51.6 million. We expect adjusted EBITDA to be in a range of $4.8 million to $5.4 million. Non-GAAP earnings per share is expected to be in a range of negative $0.01 to positive $0.01 based on 85.6 million weighted average shares outstanding. In summary, we are quite pleased with our Q1 financial performance. We're excited about the prospect for growth initiatives and we remain committed to annual increases in our adjusted EBITDA margins. Before I turn the call back to the operator, note that we will be attending the Deutsche Bank Conference on September 12 in Las Vegas. With that, operator, please turn the call over for questions.
Operator: [Operator Instructions]. Our first question is from Scott Berg from Needham & Company.
Scott Berg: A couple of questions there. I guess, first of all, Gene or Jim, how would you breakdown the revenue outperformance in the quarter from the SaaS business or the Brand Edge or the media segment? Trying to understand what drove that or it's still a combination of everything?
Eugene Austin: Well, on the revenue side, Scott, Brand Edge had minimal impact on revenue. But we would say it was a material piece of bookings and we continue to believe Brand Edge will be a more material piece of bookings as the year unfolds. So it's not really material to revenue, but we added 30 new ASF-based Brand Edge folks. Meaning, people that signed up to annual or longer contracts. So I thought that was a good start for Q1 for Brand Edge. On the revenue side, the outperformance is -- we had a significant uptick in the advertising space. Recall that we made some cutbacks on sales capacity. We had strong sales productivity with that team. We aligned them around verticals. Those verticals performed well. And so we had good, strong performance from the advertising business, such that we’ve added a little more sales capacity here in Q2 for advertising and we continue to watch it well. We feel like advertising has picked up some momentum, generally speaking. On the SaaS side, most of the outperformance of the SaaS revenue was just strong delivery of services. As you know, we've invested in services for quite a while. The capacity to deliver that services ramped up in this last half of last year, and we had our excellent performance in delivering services overall in the marketplace. Part of that is obviously services to the core business, but we've also seen a nice uptick in our sampling service business, which was part of the overperformance in Q1.
Scott Berg: Helpful there. Gene, you mentioned a lot on services both in that question and during the call in some of the different areas. But Jim, I wanted to see if you can help us understand the margin impact on the business because, usually, when we think of services we think of lower gross margins and typical softer revenues, but I know the mix is small. But if that business continues to perform well, how should we think about that impacting the overall margins of the business?
James Offerdahl: Yes. Scott, this is Jim. At this point, the gross margin impact to services is immaterial because the services, as a percent of revenue this year is probably going to be around 7% for the full year, so immaterial at this point. We do expect our services margins to grow as we deliver more and more services and have more capacity and get economies of scale. Economies of scale, we expect that to grow. So at this point, don't expect really much of a gross margin impact this year, and we're confident that we can have a good gross margin business going forward in services.
Scott Berg: Got it. Last question for me, because I'll save the rest for off-line is, Jim, I wanted to see what you think about the current structure of the balance sheet. You guys are clearly generating cash over the last year. The expectations are you're going to generate more cash. Yet you still carry some debt, probably more than you need to at this point, especially with net cash position greater than $50 million. Why not just pay off the balance and save the $1 million plus a year in interest expense today?
James Offerdahl: Yes. We have been paying it down quite a bit. We're down to $22 million compared to a high of $57 million a couple of years ago. Basically, what we've chosen to do is as we generate free cash flow or see free cash flow coming, we typically pay it down. You've seen the track record over the last 3 or 4 quarters of paying it down. We would like to maintain some flexibility on our balance sheet around potential acquisitions. We look at them. We obviously haven't pulled the trigger in a while, but we do look at them from time to time. And if one comes along, we want to make sure we have the flexibility to do so. That said, we do expect our cash flow this year, free cash flow to be better than last year's. The last year's free cash flow was positive $5.7 million. We've been saying for a couple of quarters we expect this year to be higher than that.
Operator: Our next question is from Kevin Liu from B. Riley and Co.
Kevin Liu: Certainly, Q1 numbers looked pretty strong across the board. As you guided to Q2 here, it kind of implies revenue is down sequentially, and that really hasn't been the trend in either the SaaS or advertising piece historically. So just kind of curious, why -- which pieces would kind of drop off here in the second quarter and whether or not there is a fair amount of conservatism that's already baked in the numbers here?
James Offerdahl: Yes. Kevin, this is Jim. A couple of things. Advertising, we had a very strong Q1. Take rates were quite strong as well, and so that could be down sequentially, we're not saying that, but it could be. SaaS services was certainly stronger than we anticipated in Q1. Services delivery, that's harder to predict. And also churn in Q1, as I noted in my remarks was up from Q4, which impacts Q2 a bit as well.
Kevin Liu: Got it. That's helpful. And then on the receivable side, you talked about kind of the factors driving that up in Q1. As you guys start to sign up more clients on these semiannual or annual agreements upfront, should we expect the DSOs to remain elevated until you kind of start to lap the more recent trends?
James Offerdahl: Well, I mean, we've been running in the upper 70s to 80s in the last couple quarters. Some of that is driven by the longer billing terms. And again, the billing terms have been trending up a bit, so that's part of it. I do think we could probably do better. But that said, I mean, our aging is quite good, we had minimal bad debt expense and so I think our receivables are actually in pretty good shape, really good shape, actually.
Kevin Liu: And just lastly for me. Credio has been talking a little bit more about kind of the commerce marketing ecosystem that they hope to put together getting brands and retailers to work together to offset some of the data that Amazon has. It suddenly sounded a lot like what you guys have done already with your own shopper network. So curious as to whether you see this as a bit of a competitive offering or if it's something that you think you could ultimately participate in with kind of your retailers on your network?
Eugene Austin: From my standpoint, it is a validation of what we've done. I mean, I think it's -- I know we've had conversations with Credio over time and their strategy is to do something very similar to what we're doing. I think they've got some work to do to get there. They don't have that natural relationship with retailers and brands that we do from a content standpoint. But to me, it's validation of what we're doing. There's certainly an opportunity for us to work together, potentially, down the road. But right now, we continue to focus on innovating on the data we have, expanding the number of signals we get from each shopper. So I think, I like where we stand. I like the validation we're seeing, both in our personalization trials and also the advertising business, the repeat customer rate, the continued step up of our customers in buying more advertising.
Operator: [Operator Instructions]. And our next question comes from Mike Latimore from Northland Capital Markets.
Nick Altmann: This is Nick Altmann, on for Mike. Just a couple of quick ones. I believe you guys said last quarter that sales force productivity was up 15%. Can you just give us an update there?
Eugene Austin: On a transaction basis, sales force productivity was up 18%.
James Offerdahl: In Q1.
Eugene Austin: In Q1, now that was slightly offset by lower ASPs. So our ASPs were down. We expected ASPs to be down because if you all recall, we exited the small, medium business market a while back, but Brand Edge allows us to target small, medium business brands and so we have a product that we think really fits well there now. So ASPs came down, deal productivity went up. On a dollar basis, overall productivity was just don't slightly but still healthy.
James Offerdahl: Yes. And the number you cited was FY '17 dollar productivity per rep versus FY '16.
Nick Altmann: Okay. Okay. That's helpful. Great. And then how many people are selling Brand Edge now?
Eugene Austin: All of North America is in market with Brand Edge. We plan to launch in Europe later this month.
James Offerdahl: And we do have inside sales reps that we put in place to sell to small and medium-sized businesses. Brand Edge is to SMB, as Gene noted.
Eugene Austin: A lot of the Brand Edge market, we think, lends itself to inside selling. So we're excited about that capability and obviously, having a good portfolio of enterprise and inside sales folks.
Nick Altmann: Good. Good. Okay. And then just last one for me. What percent of SaaS bookings came from Europe in the quarter?
Eugene Austin: We don't generally quote that number. We're pretty consistent that revenues from the company, our international are 25%. So we don't publicly disclose the bookings breakdown by region.
Nick Altmann: Okay. Can you answer, did Europe bookings grow faster or slower than overall bookings?
Eugene Austin: Europe had a weaker quarter. Europe had a very strong Q4 and a weaker Q1. We're in a little bit of a cycle with Europe that we'd like a lot more consistency. I think, the thing -- we've made a leadership change there six months ago. The other thing, I think is exciting and a good future trend for Europe is that we are seeing a good focus on retailer acquisition in Europe. We have some nice deals working both in the continent and elsewhere. And as we add retailers, that creates our network, right? And as we create a network, that attracts more brands. So I think that there are good signals that Europe is on its way to the right spot. I wish the quarterly consistency was there, but I also have confidence in our new General Manager to straighten that out.
Operator: [Operator Instructions]. Our next question comes from Stephen Ju from Crédit Suisse.
Stephen Ju: So Gene, I think you answered this to some degree. But I was just wondering if there's any way to characterize the typical Brand Edge client? What vertical they may be in? And would this be something that is still far from household sort of recognized brands? And I guess, on the content syndication agreement with the unnamed search engine, are there any economics exchanging hands there? Or is it just the benefit, it's basically the pure, I guess, the traffic that you might be getting? I mean just pretty straightforward what they might be getting out of this agreement, but I'm not quite sure what you might be getting out of the agreement.
Eugene Austin: Sure. So there are definitely financial terms on this relationship for the content. There's a fixed fee amount. And then as we -- the more content we provide and we go out and get permission from our customers to share their content with the search engine, as we do that, we continue to pick up more revenue, right? And so we're very confident we will have a large number of our customers saying, yes, we want our review content on the search engine as they shop online. So I think that's going to be -- I think it's going to be a significant opportunity for us from a revenue standpoint. On the Brand Edge side, quickly, Brand Edge is targeting brands that rely solely on retailers for distribution and marketing, frankly. They do not have their own capability of selling or they don't do a direct-to-consumer sales model. We think that's about 60% of brands worldwide. And these are brands -- some of these brands are household names, multi-billion dollar global brands and some of them are going to be a lot of small, medium business organizations. What's different about Brand Edge is that it requires very little implementation effort. It is a very fast time-to-value product. And so we can go directly to a brand manager who is looking at 10 to 12 brands that he or she are going to launch this year. And the first thing they say to us is I need content and I need content in the retail channel as fast as we can go. And Brand Edge allows them to either contact their consumers directly and solicit content or they can engage with us on a sampling program and get content in a matter of weeks, syndicated to the retailers they care about and they're often running with their launch. We charge Brand Edge by their network, the amount of network they are able to access or syndicated to. So if the brands are very used to the pricing model which says, the more exposure my content has, the more I should be willing to pay. Early signs are faster sales cycles. We don't need IT's involvement to talk about this product and deploy it. We're talking directly to brand managers who have big budgets, especially around launches. So it's early, but we like the positioning of the product. We feel like we're uniquely positioned to sell it, and we're excited about what the rest of the year holds for.
James Offerdahl: A couple things that I would add to that is our retailers like this offering as well because, obviously, it provides more content and broader coverage for the SKUs that they have, that they're selling on behalf of the brands. And the other thing is we think it opens up a new market that would not buy conversations to -- for the reasons that Gene described, because a lot of brands just don't have the e-commerce capabilities, like Gene said, the direct-to-consumer model. And so it just opens up new market for us.
Stephen Ju: Understood. I mean this might be getting a little bit in the weeds, but I mean this is obviously marketing spend that they're reallocating to Bazaarvoice. So any idea -- I don't know if they give you this kind of feedback or not, but like where are they pulling budgets presumably to feed you guys? Is there any sort of feedback from the brands in that regard?
Eugene Austin: Well, what we know is the brand's launch budget is one of the largest budgets they have. We're tapping into that. They are content, and digital content is very important obviously for a launch of any brands. So the fact that we can talk about acquiring content and syndicating it very quickly for them, resonates well. I couldn't tell you at this early stage what they're pulling it from in their lunch budget, but I also know that the ability to get content quickly is resonating quite well so far.
Operator: Thank you. This does conclude the question-and-answer session. I'd like to turn the floor back over to Mr. Austin for any closing comments.
Eugene Austin: Thank you all. We look forward to seeing those of you at the Deutsche Bank conference next week in Las Vegas and reporting our Q2 results in 90 days. Thanks very much.
Operator: This concludes today's teleconference. Thank you for your participation. You may disconnect your lines at this time.